Operator: Greetings and welcome to MRI Interventions, Inc. First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Comments made on this call may include statements that are forward-looking within the meaning of securities laws. These forward-looking statements may include without limitation statements related to anticipated industry trends, the company's plans, prospects and strategies both preliminary and projected, and management's expectations, beliefs, estimates, or projections regarding future results of operations. Actual results or trends could differ materially. The company undertakes no obligation to revise forward-looking statements for new information or future events. For more information, please refer to the company's Annual Report on Form 10-K for the year ended December 31, 2018, which has been filed with Securities and Exchange Commission. And the company's quarterly report on Form 10-Q for the quarter ended March 31, 2019, which the company intends to file with the Securities and Exchange Commission on or before May 15, 2019. All the company's filings may be obtained from the SEC or the company's website at www.mriinterventions.com. I would now like to introduce your host, Joe Burnett, Chief Executive Officer of MRI Interventions. Thank you, Mr. Burnett. You may begin.
Joseph Burnett: Thank you, Raya. Good afternoon, everyone, and welcome to our Q1 2019 earnings call. With me on today's call is our Chief Financial Officer, Hal Hurwitz. As always we thank you for your continued strength and support as our team works every day helping patients battle some of the most debilitating neurological disorders, to improve their quality of life. It is an outstanding start to the year and I'm pleased to report another record quarter for the company, with revenue in the first quarter of $2.5 million and 52% growth year-over-year. Importantly, we saw significant growth in all aspects of our business, including functional neurosurgery, biologics and drug delivery, and capital and services. This demonstrates the diversification of our portfolio and execution against our four-pillar growth strategy. To further underline that last comment, we saw not just diversification across our portfolio, but within each technology as well. During the first quarter, we saw 5 new installations and evaluation agreements executed for our ClearPoint functional neurosurgery platform. We shipped product or did development services for at least 7 different partners in our biologics and drug delivery portfolio. We trained 5 individual sites in preparation of our PURSUIT neuro aspiration therapy platform. And we prepared our internal systems to begin active distribution of the CLS laser platform for non-neuro applications starting later this year. We are no longer a singular navigation system company, but rather a true platform neurosurgery company with active efforts in deep brain stimulation, laser ablation, biopsy, neuro aspiration, gene therapy, robotics and artificial intelligence. Before turning the call over to Hal, I want to thank our team for their tremendous efforts and achievements in 2018, setting the stage for this great start to 2019. We could not have accomplished this evolution without the energy and commitment of each and every one of our team members. With that, let me turn the call over to Hal to discuss our financial performance for the first quarter. Hal?
Harold Hurwitz: Thank you, Joe. For the first quarter ended March 31, 2019, total revenues were $2.5 million, compared with $2.3 million for the fourth quarter of 2018 and an increase of 52% from $1.6 million for the same period in 2018. Breaking that down a bit to the underlying product areas, functional neurosurgery revenues increased 38% to $1.6 million, compared with $1.2 million for the same period in 2018. 175 ClearPoint procedures were performed in the first quarter of 2019. Biologics and drug delivery revenues which include sales of disposable products and services related to customer-sponsored clinical trials was $382,000 in the first quarter, an increase of 93% compared with $198,000 in the first quarter of 2018. This increase reflected increased product sales and services in this category as we continue to expand our clinical procedures and the addition of clinical support services. Capital equipment product sales and other service revenues were $486,000 for the first quarter of 2019, up 84% from the same period in 2018, due primarily to an increase in sales of ClearPoint systems and the marketing fees earned under our agreement with Clinical Laserthermia Systems. We added 5 new installations or agreements in the quarter, bringing our U.S. site count to 63. As I mentioned, the - okay, sorry - gross margin for the 2018 fourth quarter was 64%, compared to gross margin of 64% for the same period in 2018. The sequential decline in gross margin from the fourth quarter of 2018 reflects the increased contribution from capital equipment sales. Overall, our gross margin trend over the past several quarters has reflected a favorable mix of products sold and greater contribution from disposables and services that carry a relatively higher gross margin, a trend we expect to continue. Research and development costs were $585,000 for the three months ended March 31, 2019 compared to $546,000 for the same period in 2018, an increase of 7%. Sales and marketing expenses were $1 million for the three months ended March 31, 2019 compared to $962,000 for the same period in 2018, an increase of 8%. General and administrative expenses were $933,000 for the three months ended March 31, 2019 compared to $953,000 for the same period in 2018, a decrease of 2%. We continue to maintain a close watch on expenses throughout the year as part of our focus on scalability and lean operations. As evidenced, this quarter by the 52% increase in revenue, while operating expenses increased by only 4%. Our loss from operations for the 2018 first quarter was $972,000, down from $1.4 million in the prior year first quarter, an improvement of 32% year-over-year. Turning to the balance sheet and cash flow. During the 2019 first quarter, cash used in operating activities was just $609,000 steady to the $600,000 used in the fourth quarter of 2018. First quarter included annual bonus payments, and one of our two interest payments per year, both of which were paid in the first quarter of 2019, an increased cash used compared with the fourth quarter. Cash at March 31, 2019 was $2.5 million compared to $3.1 million at yearend 2018. With that, I'll now turn the call back to Joe.
Joseph Burnett: Thank you, Hal. As we mentioned on the last call, 2018 was about getting the right chess pieces on the board, and 2019 is about execution and putting those pieces into motion. It's great to start the year off ahead of plan. Let me cover a few highlights within our four growth pillars to bring you up to date on our efforts. And pillar number one, continued growth in functional neurosurgery navigation demand for our products remained strong, and continues to accelerate. We completed 175 cases in the quarter across our portfolio and continue to expect a ramp of ClearPoint utilization to drive the number of cases to between 800 and 850 cases for the full year 2019. We added five new centers through installation and evaluation agreement, raising our current total systems in the field to 63. Our razor, razorblade model benefits from our recent strategy to focus capital sales efforts on sites with enough patient volume and MRI scanner access to by immediately become high volume users of the technology. Our training and marketing efforts have increased the number of sites capable are doing two a day procedures from one in the first quarter of last year to eight currently. Furthermore, we have just exited our limited market release for the ClearPoint 2.0 platform, which is designed to not only add functionality, but do also reduced preplanning and procedure time. ClearPoint 2.0 is currently installed in 12 sites and as we enter into the full market release here in Q2, we see that as an opportunity to not only improved workflow, but realized capital sales into our existing installed base as well. For pillar number two. Growth in our biologics and drug delivery business, we completed the transfer of the Voyager V-Tag 510(k) to the company and completed our initial clinical builds. As I mentioned the blueprint agreement from biologics and drug delivery as now in place. And we're actively looking to replicate similar agreements across our entire portfolio of partners in drugs and gene therapy. Introducing just one additional Voyager type partnership each year would be incredibly meaningful for our company. With more than 20 partners in place, and a broader reach that now extends into Europe for these partners. We believe it is just a matter of time. We shift the products are provided service to seven individual partner companies in Q1 alone. And this took place across 10 different development platforms. Moving to pillar 3, which represents the launch of our own therapy products in order to gain greater share of per procedure revenue, and increased profitability and sales leverage. We completed our initial builds and labeling in January for our PURSUIT Neural Aspiration System, and trained five sites on the new product. Most importantly, our installation is now complete at the Mayo Clinic in Phoenix along with their brand new intraoperative suite. This product was co-developed with Mayo, and we expect the first procedure to be performed there in Q2. We are also progressing our laser co-development efforts with the CLS TRANBERG laser system. We expect to perform our first commercial cases for non-neuro application in the second half of 2019. And our first cases for a neural focus system in the second half of 2020. We complete our internal procedures and processes for non-neuro sales channel in Q1. So from an operational standpoint we are ready to go. Turning to pillar number 4, which is to achieve global scale. This quarter truly demonstrated our capabilities. As you can see from our financials, we grew revenue in access with 50% and increased operating expenses by just 4%. We also held cash burn to just $609,000, which again included bonuses paid in the first quarter and a semi-annual interest payment that was also paid in the first quarter. We continue to watch our cash position closely, as we continue to grow through the balance of 2019. Looking forward to the rest of 2019, based on our strong Q1 and our pipeline of potential biologic and drug delivery programs, we are raising our forecasted range of revenue to now between $10 million and $11 million in sales, which would represent a growth rate between 35% and 50% year-over-year. We continue to expect case volume across our portfolio in the range of 800 to 850 cases, which would represent 20% to 25% growth versus the prior year. We are very excited to carry this momentum into the second quarter and look forward to reporting results throughout the year ahead. With that, I will turn the call over to the operator for our questions-and-answer session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Jeb Terry with Aberdeen Investments. Please proceed.
Jeb Terry: Congratulations on a great quarter. Can you hear me?
Joseph Burnett: I can hear you, Jeb. [How is it going] [ph]?
Jeb Terry: Perfect, perfect. So a couple of things, Joe, on the sites there can be two cases a day, you said you're up to 8 of those. How many of them are doing those cases? And can you tell us a little bit about how the volume per site is trending?
Joseph Burnett: Yeah, I think I'd say it's somewhat addictive, where at the moment that they do realize that they're comfortable scheduling those two cases in that same MRI magnet in a single day and they do it successfully, they realize how beneficial it is to them and to their own hospital and to their patient volume to be able to continue to schedule them that way. I think one of the exciting parts is that for first time, one of our new systems that we installed just in Q1, by the end of Q1 was already scheduling two a day. So as I mentioned, I think that's a testament to two things: number one, our revised training and mechanism programs that our field clinical team is pursuing as part of the onsite installation and education; and number two, what I mentioned on the call as well is that us actually targeting sites that has the volume to support two a day procedures. So I think the combination of those two things will yield similar success throughout the rest of the year.
Jeb Terry: And help me understand how ClearPoint 2.0 is part of that acceleration.
Joseph Burnett: So 2.0 has a number of different features on it that can alleviate some hang-ups in prior generation workflows. So one example of that is that it's very common that when a physician or a surgeon wants to do one of the surgical procedures that the night before or the morning of the procedure they will look at a patient's previous MRI and they will start to plan their procedure. So this would allow them to figure out where they're going to drill the hole, what approach they're going to take. The term we use is which trajectory they're going to take. In the prior generation there was no way to link all of that work that was done pre-procedurally to the live MRI patient - image with the patient on the table. So there was a lot of manual entry of coordinates to make sure all of the pre-procedure work was leveraged. The new version of the software has a feature on it, which we call it a fusion feature. And it automatically links those two images together. It blends them together. So you get the benefit of all the 3D coordinates being automatically pulled over; wherein in some patients, maybe that can save 15 minutes, in other patients that might save an hour. So those are the types of things included in 2.0, which we think are going to have a meaningful impact.
Jeb Terry: I see. So, if the remainder - well, how long will take for the remainder of the 63 sites to have ClearPoint 2.0, and then what would that mean in terms of the number of sites who could do two a day?
Joseph Burnett: Yeah, that's a good question. I think to answer the first part of it is that we are actively offering programs to get 2.0 in to the vast majority of our sites today. So whether it's a capital acquisition or an attachment to a service, a new three-year service contract. There are a few different approaches and options that we're putting on the table. Some of those can happen quickly. Some of those - obviously, all hospitals have their own budgeting cycles and processes, so they can take a little bit longer. But I think realistically, if we can place anywhere from 5 to 8 new 2.0 system upgrades out there each quarter, then I think that would be a very successful year for us. In addition to that, every new installation that we do moving forward, the customer will see 2.0 from the very beginning and that will be the first system that they trained on. So that's the other process that's in place. To answer your second question, there are number of different - getting the site to be able to do two procedures a day, we've proven it can be done. It is being replicated. It gets back to that second point in how many surgeons have enough patients that need the procedures to need two a day. And what I mean by that is, about 20% of ours sites are in fact children's hospitals, where procedures are much fewer and far between. Very, very few Parkinson's type procedures would be done on children as an example. So maybe you're only doing one patient a quarter in those hospitals. So it's likely they would never get to two a day. But as far the rest that have truly high volume centers and academic situations in urban areas, we're excited to continue to penetrate these and get them up as high as we can.
Jeb Terry: And if I might, relative to the stroke - the PURSUIT, and so you install with Mayo and you trained four other sites. Have your thoughts changed in terms of how many cases that might represent on going forward basis or - yeah, obviously, you've done - going through some development and co-development with Mayo. Kind of where is that - what's your view of that segment of the business today versus where you were a year ago?
Joseph Burnett: I think it's still a very exciting segment, so I don't think anything has changed there. I think, honestly, I would have liked to have performed our first human case a little bit sooner. But the fact that we are so close to the Mayo Phoenix team there, and the fact that they just got their new intraoperative MRI magnet installed and are expecting to do cases inside that magnet any day, just the timelines happen to work out that we would be able to do our first case there. And I think it's only fair for us to try to do that case with some of our collaborators. As far as market potential, we still feel very, very strong that some of the data from the [MISD] [ph] trial at first glance seems to show that maybe not all of these patients benefit from an intervention, which is true. But at the same time, I think if you look closely at the data and you continue to see how patients that did have a good amount of clot removed, and in fact had very little, a very few CCs of residual clot remaining, those patients did seem to separate themselves in terms of outcome. That's the [park that we're kind of skating to] [ph] and being able to provide real time MRI guidance to measure and quantify and help guide that procedure. And very importantly, for the surgeon to be able to put into the permanent patient record a quantified amount of how much clot was removed and how much is remaining, we think that's going to be a very important metric for surgeons to look at moving forward. So we still feel very excited about the opportunity.
Jeb Terry: And one last one for me and then [with Mayo also] [ph], so just some clarity on the drug delivery opportunities, so you got 20 partners, you shipped to 7 and 10 different projects. And then you mentioned this particular company, Lysogene, I guess for their use in a trial. That sounds like a pretty good landscape. Are there any Voyagers out of those 20, something of that scale? Or are there - if we roll out a year, would there be 40 drug companies and 20 projects or how should we think about the momentum in that side of the business?
Joseph Burnett: I can say that we have our handful. I would say working with a number of these companies, because again, one company's partnership could be as simple as, hey, we just heard of you, we got a brand new idea, we just got initial seed funding for our gene therapy company. And we've heard, you've got the best tool out there to deliver this. So can you ship as three units, and we'd like to some bench-top testing on it, all the way to, hey, there is a new software program that we think would be terrific to help monitor our drug infusions and we'd like to go ahead and co-develop this tool. So that we can deploy it on multiple systems across multiple countries as part of Phase 1, 2 and 3 clinical trials down the road. So the scale and the level of interaction is just diverse and you can imagine in that particular space. Right now, we are staying ahead of it, and like I said, I think, we are adding relationships to the mix certainly every month.
Jeb Terry: Very good. Well, I'll get back in the queue, and may come back in a minute. Thanks. Congratulations.
Joseph Burnett: Thanks, Jeb.
Operator: Thank you. Our next question comes from the line of Scott Billeadeau with Walrus Partners. Please proceed.
Scott Billeadeau: Hi, guys. Just a couple of quick questions. One, what was the mix between DBS and ablation. Do you have a sense for what the mix was there?
Joseph Burnett: Yeah. I believe our DBS number was somewhere between 50% and 55% of the total number - total procedures done in the first quarter, somewhat in there - those are generally. The best rule of thumb to use today is about half of our procedures are bilateral. So - and more than 90% of DBS procedures are bilateral. So overall, it's about 50%, we're selling two kits into and 50% we're selling one kit.
Scott Billeadeau: Yeah. Okay, great. All right. And then secondly on your pillar three - previous caller asked some detail questions there. So he answered few things for me on that front. But I was wondering, you see when my question was here. Yeah, just - when you talk about the laser - there is laser - I think you talked about the laser system where you're going to start out with and then truly develop but non-neuro first and then neuro second. I don't know if you're comfortable kind of give a little hint for what market you'll go to within non-neuro and why you can get there first?
Joseph Burnett: Yeah. We actually had signed two different agreements with our partner CLS in the laser ablation space. The first strategic agreement for us was to acquire the license to the Tranberg System and applicators for using spine and neuro procedures. So that some of the work we're co-developing, we're building out a portfolio product to support that, hardware, software applicators et cetera. And that's what we think; we'll be doing our first human cases in the second half of 2020. The second agreement we signed with CLS was to become there North America distributor for non-neuro procedures and the primary use of those procedures today that the indication is for soft tissue, but the primary use today is an prostate cancers. So focal treatment of prostate and that's really where we're spending the good amount of time. We are not solely responsible for the distributions. So we actually work in partnership with CLS, where they provide marketing, clinical, training, support et cetera. But those are the types of procedures will be in the first.
Scott Billeadeau: Okay. Great. Thanks. And then just a last question, just in your discussion with all the potential partnerships or - different things. How - you said, you got your hands full, what do mean, you've got allocate or make some decision making at some point of - saying no to someone at some point. What's the process you have or you've got the great matter and how is to help you to those - make those decisions.
Joseph Burnett: I appreciate the question. And some of it was a little bit tongue and cheek to be fair. But I think, what is nice about our partnerships in the biologic space is that - we felt like we are very important to non-crucial part of a successful gene therapy procedure, especially in the clinical trial space. But I think commercially eventually as well. And as a result of that, I think, these well-funded companies are capable of providing some resources in many cases upfront to kick a project off. So worst case, if we ever got in a situation, where we didn't have the capacity on hand we have active dialogues to say, look, prepay a part of that development effort and we can hire someone to dedicate your project, we have this conversations every week for sure.
Scott Billeadeau: Yeah. Got it. And then for the most products, hey, this is what we do they know that they need to get this into the location they want. This is the way to do it now, if there is some we need special than we're going to have to talk and figure out what's going to be different and how you - what you can provide now in terms of navigation. So that's what you co-fund or, hey, we'll figure out, who's going to pay for the next step, is that kind of a fair assessment?
Joseph Burnett: I think, it's absolutely, yes, and targeted plans into the services as well. So it's not design familiarity of our products, so our SmartFlow cannula, I think one of our advantages is that the FDA have seen it so many times come across on different protocols. That - if you're a gene therapy company and you're submitting a new protocol. It's going into the same group that for your IDE and when they see SmartFlow, yes, oh, I know, what that is. I've signed off on that before, I can check that box. So those are the types, I think, our experience in our technology provides. In addition to that, we have also worked with so many companies and learn so many different testing techniques over the years. Then in some cases, we can be used its actually validate release rates, gel studies and things like that for some of these company. So might not just be the product, but the development services as well.
Scott Billeadeau: Yeah. Great. All right. I appreciate it. Thanks so much.
Joseph Burnett: Thanks, Scott.
Operator: [Operator Instructions] Thank you. Our next question comes from the line of Jonathan Benky, [ph] a private investor. Please proceed.
Unidentified Analyst: Hi, guys. I was just wondering if you can - can you hear me?
Joseph Burnett: I can, yes.
Unidentified Analyst: Okay. I was just wondering, if you can tell me and following you guys for a while small investor here. Just curious, if you can tell me how can we have such a small percentage of institutional investors. Is that something you guys are looking to increase and obviously maybe provide a little support for the stock price?
Joseph Burnett: Yeah. It's definitely something, I thought about and conversations you had event today. I think, the conversations that I've had with different investors, they're going to number of people that have been very interested from the institutional side to participate. And in many cases just the over-the-counter, OTC designation has been a challenge sometimes it's against the charter, sometimes you may just getting access to the number of shares has been the biggest challenge on side of things. But I think the - our view on, how does all that starts with the top-line. So growing revenue is quickly as we can to get scale and get closer to profitability, we feel like that's going to be best way to cure that challenge in the future. So that's how we are approaching that today.
Unidentified Analyst: All right. That's all I had. Thank you so much.
Joseph Burnett: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Joshua Lane, [ph] a private investor. Please proceed.
Unidentified Analyst: Hello. I am interested in your revenue forecast for the year, you're saying $10 million to $11 million, but you did $2.5 million basically in the first quarter. It seems to me that's a pretty timid forecast. So I'm wondering what goes into it, if there is some reason is the correct quarter, you've had strong quarter and you…
Joseph Burnett: It's a very fair question. And I think number one Q1 was a strong quarter. I don't believe that will be our strongest of the year, I give you any indication. Number two, I think there are some historical choppiness to our revenue, I can comment the form of either capital sales placements, primarily capital sales placement as well as some milestone delivery dates on some of these biologic and drug delivery services. So for example, we might have $100,000, $200,000, $300,000 milestone tied to the FDA clearance of one of these developed products. In which case, if that happens December 30 versus January 2 that can swing things one way to the other. So again, we're pleased with Q1, I'd say we are ahead of plan enough to make us raise our forecast again today. But I think that's a fair assessment looking somewhere between 10 and 11 based on the information that we have in front of us today.
Unidentified Analyst: Do you - can you see a $3 million quarter in the year?
Joseph Burnett: It is certainly possible. Yes.
Unidentified Analyst: Would you be a cash flow breakeven in that level?
Joseph Burnett: Well, that get us into a bigger question as well, as far as, how are we prioritizing the use of cash. The opportunities in front us on the biologics and drug delivery side of things, those required a very little investment in our side, because our partners are normally make us cash flow positive is part of those development. So most of the uses any of our remaining cash would be on ongoing operations, and then investments we would want to make into our own therapies. So my feeling is, a lot of the - I would argue over performance and we're going to see on the top-line, and then from a gross margin standpoint. They're certainly going to be a part of that that we're willing to put back into the company into R&D, and potentially sales and training staff as well. So we are definitely going to manage to the top-line and prioritize that growth right now.
Unidentified Analyst: Okay. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Bruce Conway, [ph] a private investor. Please proceed.
Unidentified Analyst: Hi, Joe. I also want to reiterate awesome quarter. And I wonder if you have any update on that Glioblastoma trial at the University of Minnesota?
Joseph Burnett: Thanks for the question, Bruce. No direct update, I think, the researchers there very careful to provide information when they've been it's appropriate. And whether it's an individual patient to our - certainly, it is part of the trial, we kind of wait and depend on the researchers' themselves and provide us the update. So we've entered anything new, but as soon as we do hear something probable, I'm happy to share that with you to make sure you're kept in the loop.
Unidentified Analyst: Great. Thank you. That's all. On the PURSUIT business with the Mayo Clinic. Would that be a clickable, do you think to infant damage from, say, baby falling on the head and having internal bleeding.
Joseph Burnett: Yeah. I think, dramatic brain injury is certainly a source of intracerebral hemorrhages that you would see. There's some tumor intervenes for the product - tumor has been shift more commonly. I could potentially have some applications to. So yes, it does just like the different disorders, last time, they don't choose based on age, so it's something that certainly impacting under people as well.
Unidentified Analyst: Yeah. And I heard of the case where they were ticking x-rays of the infant, and of course you have radiation risk, et cetera. So I've got the application for MRI would be very appropriate?
Joseph Burnett: Yeah. That's interesting one. One of the companies is still seeing and it has been done a really nice job making MRI friendly environment through children, because it can be a little scary and claustrophobic to be in that board. So they've - it's really a process from the work that we've done.
Unidentified Analyst: Yeah. Yeah. In this particular case, I think, is that they wouldn't allow the mother in the room, because of the radiation. So the father was there with the infant, and - so I just thought, it well. Well, this is something I need to bearing to MRI's attention.
Joseph Burnett: I appreciate, Bruce.
Unidentified Analyst: Well, again, great quarter. Thanks so much.
Joseph Burnett: Okay. Thanks for calling.
Operator: Thank you. Our next question comes from the line of Jeb Terry with Aberdeen Investments. Please proceed.
Jeb Terry: I'm back.
Joseph Burnett: Okay. Good morning.
Jeb Terry: So Joe, it's very encouraging you hear that the indication of biologics and that you've transitioned to not only getting the per case payments, but I understood that you could expect some upfront payments and even milestone payments relative to some of these things. I think they refer to those as biobucks. Is there - can you elaborate on what - give us some comps, some sense of the scale or where the success rate garnering upfronts and milestone opportunities with some of these new drug partners?
Joseph Burnett: Yeah, I don't think it's anything static, Jeb. I think of it as the role that two parties play in any good partnership. And helping to understand what one person needs versus what would really help someone else out, depending on - if we have resources available, and we got some level of capacity to start a project or find the right consultant to outsource it to, those are things that we would take care of during the normal course of business. If there is larger longer-term projects that do require hiring a permanent staff, those are the types of programs where we would say, look, we're happy to get started, but let's remove some of the risk to our company before we hire someone and, again, make sure that that long-term commitment is there. But there is really no hard rules. It's really a thoughtful hour-long conversation in trying to understand what those parties need. And we're happy to be flexible whenever we can.
Jeb Terry: So that's when you get the upfront payment? Or the situation where you might be able to negotiate an upfront?
Joseph Burnett: Yeah, I think so. I think that's a - those are the typical ones. The ones that have - where we think the duration of the project would be 6 to 9 months or longer, those are the ones where we might go big or any ones that would require us to acquire any specialized equipment for a specific part of the design or expensive raw materials, those are the types of things we'd consider.
Jeb Terry: Okay. And certainly Voyager has a project that would last that longer. So are there milestones payments that you might get that conditioned on their success with phase 1, 2, 3, et cetera?
Joseph Burnett: I can't share anything confidential relative to Voyager. What I can say is that, yes, there are milestone payments out there. But more importantly, our success and our partnership with Voyager, both companies will do very, very well in the event that we get to a commercial release of the product. So that's by far our focus. We haven't tried to get too cued in any sort of terms or anything like that.
Jeb Terry: Okay. And, sorry, back to the stroke thing, are the economics relative to stroke cases or for that matter are there non-neuro cases about the same as in the neuro cases?
Joseph Burnett: The economic impact is - it's kind of a loaded question, because there is a few different ways to look at that. The first one is what does the hospital see and the economics could be favorable for a hospital, because in theory they would be billing for DRG of craniotomy and an aspiration, which versus the cost of materials, cost of the products, those types of things should be a profitable procedure for most hospitals. The other economic element is the cost to the physician, based on RVUs. And I think in that case, everything we're doing to speed up the procedure and simplify it whether it's generation one, generation two or generation three, the shorter we make that procedure, the more benefit we're providing to physicians that can bill for their time appropriately. The third part of the overall picture to the healthcare system, which arguably gets lost in all of this sometimes, but if we can even - if our procedure can even save one day of ICU time or even a couple of hours of ICU time, it's in the best interest of absolutely everyone it seems. So that's really the focus of a lot of our efforts. It's to make sure we're delivering a therapy that's truly going to benefit patients and reduce their time either in the ICU or in their time in the hospital in general. So that's really our focus, because if we do that part well, then the rest is going to take care of itself.
Jeb Terry: Okay. And then - but in terms of revenue per case is there - is that - of that relative to what the company would make, is that…?
Joseph Burnett: Yeah, I would think of that as somewhere between 1 and 2 procedure kit revenue.
Jeb Terry: Okay, okay. Perfect.
Joseph Burnett: I think of it as a single SmartFrame kit plus.
Jeb Terry: Okay, perfect. Thank you very much.
Joseph Burnett: Okay.
Operator: Thank you. We have reached the end of our Q&A session. I'd like to hand the floor back over to management for closing remarks.
Joseph Burnett: Thank you, Raya, and thank you all for joining us today. As you can see, we're incredibly excited about the path forward. Not only do we see growth ahead in our core neurosurgical cases, we are now better positioned than ever in biologics and developing our own therapeutic tools. We are very excited for continued success in 2019, including our increased outlook on our performance this year. In addition to continuing to report our progress and key milestones, we continue to do outreach in select conference and road-show opportunities. If you are interested in meeting in person, please contact Matt Kreps at Darrow Associates, our investor relations firm, using the contact information on our press release. They will work to ensure you are added to our meeting rosters or those of some of the upcoming events. On behalf of our dedicated team of engineers, scientists and clinical support specialists, we thank you for participating in our efforts to take on these debilitating neurological disorders. Have a great night.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.